Operator: Ladies and gentlemen, thank you for standing by. Welcome to Best Buy’s Fourth Quarter Fiscal 2013 Earnings Conference Call. At this time all participants are in a listen-only mode, later we will conduct a question-and-answer session (Operator Instructions). As a reminder this call is being recorded for playback and will be available by 12 p.m. Eastern today. (Operator Instructions) The call will end at 9.50 am Eastern Time. I would now like to turn the conference over to Bill Seymour, Vice President of Investor Relations.
Bill Seymour: Good morning, and thank you for joining us on our fiscal fourth quarter 2013 conference call. As usual, the media are participating in this call in a listen-only mode. Let me remind you that comments made by me or by others representing Best Buy may contain forward-looking statements regarding what we will expect, plan or intend to do in the upcoming year and beyond. It is important to keep in mind that any such statements remain subject to risks and uncertainties. Our SEC filings contain additional information about factors that could cause actual results to differ from management’s expectations. Please note that our reported results this morning include non-GAAP financial measures. These results should not be confused with the GAAP numbers we reported this morning in our earnings release or with the GAAP numbers we will report in our 10-K. For GAAP to non-GAAP reconciliations of our reported to adjusted results and guidance, please refer to the supplemental schedules in this morning’s news release. As a reminder, to assist you with our modeling, fiscal 2013 was a 53 week year versus 52 weeks in fiscal 2012. The extra week in fiscal 2013 was in the first quarter. The extra week of fiscal 2013 added approximately $700 million or 1.5% in revenue or $0.12 or 3% in non-GAAP EPS. Now, I would like to turn the call over to Hubert Joly, our President and CEO.
Hubert Joly: Well, good morning everyone and thank you for joining us. I would like to begin today with an overview of our fourth quarter results and our priorities for fiscal 2014. Then, I will turn the call over to Sharon McCollam, our new Chief Administrative and Chief Financial Officer to provide further details. But before we get started, I would like to officially introduce Sharon to all of you in our new role. As many of you know, Sharon joined us in early December. She came out of retirement after serving for many years as the Chief Operating Officer and Chief Financial Officer at Williams-Sonoma. Since she joined us, we’ve expanded her role and she is now leading our finance, IT, real estate, and supply chain operations. And of course, our in-depth expertise in these areas has made her an instantly powerful contributor to our transformation and work field that she is here. So welcome Sharon. I would now like to talk about our better-than-expected results for the fourth quarter. On revenue growth of 0.2%, we delivered non-GAAP diluted earnings per share of $1.64. Adjusted free cash flow for the year reached $965 million as we aggressively reduced inventories and focused on working capital and cash flow management. We ended the year with $1.8 billion in cash. To deliver these results, renewed momentum in the domestic business more than offset continued softness in international. Domestic comparable store sales increased 0.9% with an overall 10 basis point decline in the gross profit rate. Domestic online revenue increased 11% and so these better-than-expected results were driven by compelling assortment of new products in key growth categories, increased blue-shirt training, higher customer engagement in our retail stores, and impactful traffic generating marketing initiatives. It was a quarter that was driven, not given. And we are encouraged by the intensity collaboration and momentum that was generated by both our front line and corporate teams as we began to execute against our Renew Blue initiatives. Now looking on to build on this momentum in fiscal 2014, we remain focused on the true problems we have to solve, stabilizing, and in improving our comparable store sales and increasing profitability, across our global businesses. We recognized however that 2014 is a year of transition, and that further investment will be required to advance our Renew Blue transformation. To achieve this I’d like to highlight six of our Renew Blue priorities that we will be pursuing in fiscal 2014, including number one, accelerating online growth; number two, escalating the multichannel customer experience; number three, increasing revenue and gross profit per square foot to enhance store space optimization and merchandising; number four, driving down cost of goods sold to supply chain efficiencies; number five, continuing to gradually optimize the U.S. real estate portfolio and number six further reducing our SG&A costs. In addition, improving the performance of our international businesses will be another key priority. All of these priorities are currently underway and we expect each of them to deliver gradual and incremental operating improvement throughout the year. I’d now like to provide additional color on each of these priorities. To accelerate online growth, we intend to improve online traffic and conversion through a number of activities: number one, building a unified view of the customer across our various platforms, so it’s dynamically generate online recommendations for product and shopping information based on customers need and preferences. Number two, implementing a new search platform that helps customers find products more easily with increased relevance. Number three, creating product pages that have an integrated and consistent browsing experience across all devices. Number four, enabling a single seamless access to rewards on points management and redemption capabilities versus the current segregation between bestbuy.com and MyRewardZone.com. Number five, creating an easy process for customers to add additional products and services like warranty and geek squad support to their in-store pickup experience. And number six, increasing our product assortment in an interesting product information. We expect to implement these changes by next holiday. The second priority is to escalate the multichannel customer experience. In addition to the functionality improvements that we are making online, we’ve introduced a new metric to track customer service levels known by many of you as Net Promoter Score or NPS. NPS will measure not only the satisfaction of customers that buy, but also the customers who don’t. In November, at our Analyst Day, we discussed Best Buy’s customer promises. As a reminder, these promises include offering the customer the latest devices and services all in one place in partial and knowledgeable advice, competitive prices, the ability to shop when and where they want, and support for the life of their products. To ensure that these promises are upheld, we’ve defined key performance indicators that measure our progress on a monthly basis. And we are pleased to report that since November, our Net Promoter Score has increased by 200 basis points. We are seeing increased customer satisfaction pertaining to our sales associate, our service and price perception. Looking ahead, we remain relentlessly focused on driving customer satisfaction to better install performance across our various channels, improve price perception through our low price guarantee, higher personalization of online offers and the reallocation of store labor hours to customers with paced in activity. The first priority is to increase revenue and gross profit per square foot through enhanced store space optimization and merchandize. This year we will reduce space allocated to the negative growth and low margin CD and DVD categories and replace it with higher gross categories like mobile, appliances and accessories and to support these expanded categories, we will deepen the product assortment, increase Blue Shirts training and reprioritize marketing investments. The first priority for this year is to drive down cost of good sold through supply chain efficiencies. Our first initiative here is to continue to develop multichannel capabilities as we continue to grow online business and to drive this, we will expand online fulfillment into all of our existing distribution centers and improve our allocations of inventory in order to get the inventory into the distribution center closest to the customer. Additionally, we will be consolidating orders per parcel and refining order management to fill orders from optimal locations. All of these initiatives will result in improved service levels to the customer and reduced shipping cost. Another priority for supply chain will be to reduce expenses by driving transportation efficiencies. To achieve this we’re significantly improving information sharing, collaboration and good planning with our carrier partners to send fuller trucks and reduce empty miles. Lastly, we’re reviewing our product movement to identify opportunities to alter product flows and transformation method to further reduce our expenses. Our fifth priority is to continue to gradually optimize our U.S. real estate portfolio. Occupancy cost reductions continue to be a key focus, and we make significant progress in fiscal 2013 in both the area of store closings and re-negotiated leases. In fiscal ‘13, we permanently closed 49 large-format stores and expected to close an additional 5 to 10 large-format stores in fiscal 2014. Additionally, we have been very rigorous about capital allocations and have extended the timeframe by which we’re measuring the performance of new prototype stores. This includes all formats including our Richfield prototype store, Magnolia and Pacific Sales, stores within-a-store and our Best Buy Mobile standalone stores. They are, however, is small member of selected and opportunistic market who are planning to move forward with new stores including 12 new Best Buy Mobile stores, 10 Magnolia Design Center stores within the store and 18 to 25 Pacific Kitchen & Home stores-within-a-store. Our sixth priority is to further reduce SG&A cost, over time we believe there is an opportunity to remove $400 million in cost from the $4.2 billion in annual North America G&A expenses. Over the last several weeks, we have executed Phase I of these reductions totaling $150 million in annual savings, which included an initial head count reduction of approximately 400 people. These savings are being driven by discontinuation of non-core activities; the take-out of management layers and various efficiency improvements, including the removal of organizational silos that have driven up costs and undermined accountability and decision making. In addition to this, $150 million cost take-out, we expect additional costs to be eliminated in the second quarter and later this year, we are continuing to systematically and aggressively challenge all elements of our SG&A cost structure in pursuit of a materially lower cost base. We are planning to improve the performance of our international businesses, particularly in Canada and China. We have the same two problems to solve as we have in our domestic businesses; declining comparable store sales and declining operating margin. So as an example, in Canada and China, we have seen a significant decline in comps and operating income due to overall industry softness and increasingly competitive macro environment in an overweight cost structure. To begin addressing these issues, in fiscal ‘13, we closed 50 stores in Canada and five in China. In addition, under the leadership of Shari Ballard, our EVP and President of International, we will be reading out renewed initiatives for our international businesses in fiscal 2014. Collectively, all of these Renew Blue priorities are driving a commitment to action and accountability as our management team focuses on one Best Buy. To further this alignment, we have implemented a new management incentive program for all leaders that prioritizes the resolution of the two problems we have to solve, improving comp store sales and increasing profitability, this incentive scheme also prioritizes measurable improvements in the customer experience, the growth of our online business, and the achievements of further SG&A cost reductions. We believe that aligning the incentive program with the goals of Renew Blue was significantly elevated our success and drive enhanced shareholder value. I will now turn the call over to Sharon to cover more details on Q4 and our outlook for fiscal 2014.
Sharon McCollam: Thank you, Hubert, and good morning. As Hubert said earlier in the call, our fourth quarter results did exceed our expectations and we are encouraged by what that said for our opportunities in 2014 and beyond, as we continue to make progress on our Renew Blue initiatives. The P&L highlights that drove these results were as follows; enterprise revenue increased 0.2% to $16.7 billion, primarily driven by a 0.9% comparable store sales increase in the Domestic segment, partially offset by a 6.6% comparable store sales decline in the international segment. In the Domestic segment, total revenue declined 0.3% to $12.6 billion. But this decline was driven by the loss of revenues from 49 big box stores that were closed earlier in the year, but was substantially offset by the positive 0.9% comparable store sales increased previously discussed and incremental revenue from a 126 additional Best Buy mobile standalone stores. It’s important to note, however, that this fourth quarter’s comparable store sales were benefited by an estimated 35 basis points due to a calendar shift in this year’s pre-Super Bowl sales from Q1 of fiscal 2014 to Q4 of fiscal 2013. Domestic online sales increased a 11% reaching a record $1.3 billion as momentum accelerated throughout the quarter. Highly effective traffic generating marketing initiatives drove these better-than-expected results. From a merchandising perspective in the domestic segment, strong growth in mobile phone, tablets/eReaders and appliances was partially offset by declines in gaming and digital imaging. In the international segment, total revenue increased 2% to $4.16 billion versus $4.09 billion last year. This increase was driven by the positive impact of changes in foreign currency rates, partially offset by the previously mentioned 6.6% decline in comparable store sales. From a country perspective, positive comparable store sales in Europe were more than offset by double-digit declines in Canada and China. In Canada, overall industry softness drove this decline. In China, however, increased competition from e-commerce and year-over-year impact from expired government stimulus programs were the drivers. Turning now to gross profit, the adjusted fourth quarter enterprise gross profit rate declined 60 basis points to 22.6%, including a 10 basis point decline in the domestic segment and 210 basis point decline in the international segment. In the domestic segment, the fourth quarter adjusted growth profit rate was 22.4% versus 22.5% last year. This 10 basis point decrease is a net impact of two business drivers. The first, which represents a 40 basis point decrease as higher promotional activity principally in home theater that was partially offset by lower sales in gaming, which sells at a lower gross profit rate. The second is a 30 basis point benefit from a periodic profit sharing payment that was earned by the Company based on the long-term performance of the Company’s externally managed extended service plan portfolio. In the International segment, the fourth quarter gross capital rate was 23.4% versus 25.5% last year; this 210 basis points rate decline was primarily driven by a lower gross profit rate in Europe. In Europe, the decline was driven by a higher percentage of revenue coming from the wholesale channels and an unfavorable product mix in addition to greater promotional activity. The International segment’s gross profit rate was also negatively impacted by phone carrier and other periodic payments that were earned by the company in the prior year that did not recur in Q4 of fiscal year 2013. Adjusted fourth quarter Enterprise SG&A as a percentage of revenue increased 100 basis points to 17.1% with 140 basis points increase in the Domestic segments and a 10 basis points decline in the International segment. In the Domestic segment, adjusted SG&A expenses were $2.07 billion or 16.5% of revenue versus $1.9 billion, or 15.1% last year. This 140 basis points increase was primarily driven by increased investments in advertising and other direct selling costs to drive in-store and online revenue, a reversal of incentive compensation expense in the prior year that did not recur inQ4 fiscal 2013, and increase in field incentive compensation and executive retention and transition costs; and a year-over-year increase in legal-related reserves. In the International segment, SG&A expenses were $791 million, or 19% of revenue versus $782 million, or 19.1% last year. This 10 basis points decrease was primarily driven by overall lower costs, partially offset by the negative impact of changes in foreign currency exchange rates. Adjusted free cash flow with $965 million for the year versus the most recently provided guidance of $500 million. This better than expected results was driven by three factors; an aggressive inventory reduction plan and an intense focus on working capital and cash flow management initiative that were implemented after the Company’s last financial press release. A Higher than expected mix in the European business of inventory purchases for business-to-business sales activity that carry substantially longer payment terms. And the impact of better than expected fourth quarter earnings. Before we move on to discussing next year, let me touch on the non-cash impairments and restructuring charges that were excluded from our non-GAAP earnings. First, we recorded a non-cash impairment charge of $822 million, primarily to reflect the write-off of goodwill for Canada and China, as recent economic and competitive pressures contributed to a worse than expected fourth quarter performance, and led to lower the long term outlook for both country. The same factors that resulted in the goodwill impairment also led to higher than normal non-restructuring non-cash asset impairments, which were included in the SG&A line and totaled $44 million including $9 million related to domestic segment asset impairments. The Company also recorded restructuring charges totaling $203 million in Q4 of fiscal ‘13 primarily related to previously announced store closures in Canada and Europe, in addition to severance charges associated with Renew Blue SG&A cost reduction initiatives outlined previously. Of this $203 million approximately, $140 million is expected to be paid out in cash primarily over the next two years. For a full GAAP to non-GAAP reconciliation, please see the schedules in today’s press release. Now looking forward to fiscal 2014, Best Buy is at the beginning of a major transformation. As Hubert said, this year will be a transition year. A year in which we will be taking out cost as fast as we can, but also a year in which we will be simultaneously making substantial investments and Renew Blue initiatives that we believe will deliver significant long-term returns. To support this initiatives we are expecting capital spending in fiscal year 2014 to be in the range of $700 million to $800 million and incremental SG&A investments to be in the range of $150 million to $200 million. These investments will be principally in the areas of online, mobile and the multichannel customer experience in addition to non-recurring cost associated with the in-sourcing of IT expected to be completed in fiscal 2014, and the re-platforming of bestbuy.com expected to be considered in fiscal year 2015. These incremental SG&A investments, however, are expected to be substantially offset by our Renew Blue cost reduction initiatives, including the $150 million of Phase One reductions that were enacted over the last several weeks and the additional reductions that we are expecting to announce in the second quarter and later this year. From a revenue and earnings perspective in fiscal 2014, we will not be providing financial guidance. Directionally, however, we do expect the first quarter to be under significant pressure due to; one, the absence of an additional week and the impact of this year’s pre-Super Bowl sales shifting into Q4 versus Q1 of fiscal 2014, and which is an approximate impact of $0.14 combined in diluted earnings per share; number two, a less favorable product and services mix in the Domestic segments due to the timing of high velocity product launches that occurred in Q1 of fiscal 2013 that are not expected to recur in Q1 of fiscal 2014. Number three, the first quarter carry-over effect of sales and marketing investments that were implemented in this fiscal year 2013 of greater investment in price competitiveness, including the impact of the company’s recently launched price match program. And five, the timing and impact of capital and SG&A investments that are hitting the P&L today versus the timing of the realization of the benefits including the insourcing of IT and the replatforming of bestbuy.com. But despite these first quarter financial pressures, the energy in the organization around the successful execution of our Renew Blue initiatives is still inspiring. Our fourth quarter results and the actions that we’ve taken since then to begin rationalizing our infrastructure, have given the organization something that they have not had in a long time – pride in the outcome and a belief in what is possible. Our fourth quarter results have also affirmed what Hubert shared at the November Analyst Day and what I knew to be true when I joined the company. Best Buy is the market leader in a highly fragmented and growing market. We have a powerful platform from which to deliver a superior multi-channel shopping and service experience to our customers. And while already the 11th largest e-commerce retailer in the U.S., Best Buy is underpenetrated from a market share perspective and early investment returns and the momentum we have seen in the channel validates the potential of this significant growth opportunity; and the runway to improve financial returns through increased online growth, enhanced retail execution, and extensive structural cost reductions is tremendous. I will now turn the call back to Hubert.
Hubert Joly: Thank you so much, Sharon. And before we go to Q&A, I wanted to give a quick update on the process with our founder Dick Schulze. So yesterday was of course the deadline for Dick to make a qualified offer and no such offer was received. During the process, Dick introduced to the Company, several impressive private equity sponsors, we all expressed interest in an investment in Best Buy. Now the costs of these investments however will determine to be excessive and dilutive to our existing shareholders. Therefore, the Company concluded to not accept these offers. Despite the significant amount of time that management has spent on this process, the organization has remained focused in our Renew Blue transformation and we will continue to do so, as we move forward for the benefit of all of our stakeholders. So, I’ll now turn the call over to the operator for Q&A.
Operator: (Operator Instructions) Thank you. Our first question comes from Kath McShane from Citi. Please go ahead with your question.
Katharine McShane – Citigroup Global Markets Inc.: Hi, thank you, good morning. My question is surrounding the price matching program that you’re going to put in place or expect to be put in place that you did during holiday. And I wondered if you could consider some tranche surrounding holiday versus what we expected in this year. And if there were any earnings during holiday you learned?
Sharon McCollam: Hubert, would you like to take that question?
Hubert Joly: Yes and good morning, Keith. The line was not very good. I think your question pertains to price matching activities during the holidays and our strategy going forward. So this is a decision we made in October to make sure that we enhance our price competitiveness and fight the so called showrooming phenomenon. Blue Shirt teams in the field have been very credited about this program. The customers have been very engaged in this program and we believe that it has help improved our price perception during the program and so we’ve been very credited about it. In terms of impact on our margins, it was a big concern right out there in terms of the impact it would have. The impact has really been minimal, because in general terms actually our prices are quite competitive and as you know, we’ve decided to move from the pilot to a policy. So the situation now is that we are matching both online and in the stores. We have actually expanded the price matching policy to cover up essentially all product categories including accessories and hardware, and so far there is very few exceptions to the policy. The fact that we are going to make this a policy and make it permanent may increase the cost a little bit, so that’s a factor that we have in mind. But we are Best Buy and we are determined to be the Best Buy for our customers and of course our value proposition to the customer is not just the price, it’s all of the price customer promises and we like the response we are getting from customers.
Bill Seymour: Okay, next question please.
Operator: Thanks. Next question comes from Anthony Chukumba from BB&T Capital Markets. Please go ahead with your question.
Anthony C. Chukumba – BB&T Capital Markets: Thanks for taking my question and congrats on the quarter. So my question was on the free cash flow. Now you significantly reduced your guidance before the holiday sales results, and now you came out way we’re better than that. I was just wondering, I know there was a color in the press release, but you can give us any additional color, because I know there was some concern that may be was because of vendors were cutting back terms, and I would just love just a little bit of additional color in terms of what you’re able to do to almost double your free cash flow guidance? Thanks.
Sharon McCollam: Anthony this is Sharon and I’ll take that question. In order to do that obviously, I just joined the Company when we release the previous cash flow guidance, and we had at the time I joined, we were discussing and the organization was already discussing actions to take as it relates to working capital management. So subsequent to that time, there were several things that we did that drove this, and the biggest of them and then there was one that is not driven, it is a result of the business change in Europe. So let me walk through that in a little more detail. First of all, the inventory was ended lower than we anticipated, and a portion of that was the additional sales but in addition to that we did an entire study of our layer of our inventory that with very slow moving, and that was eligible for return-to-vendor. And so we had a full core cuts in the organization on taking this non-productive working capital and returning it to vendors. Now this is a process that when you think drove it you go from the store to a regional sensor from the regional center to the vendor the paperwork got to be intact and then you can legitimately deduct that account payables that you would owe to the vendors thus turning it into cash. So who have guided a process that we had not historically executed and now of course, has become part of our baseline execution would have been probably a little bit premature, but the execution of this yielded well over $300 million of additional cash flow. So we were thrilled with the execution of proxy organization that with (inaudible) and that was one driver. The next – the second driver is that if you recall from my prepared remarks in Europe, we talked about the fact that they had a significantly higher mix of post sales during the quarter. And as part of this business to business sales effort activities being somewhat higher than anticipated, the payment terms at inventory purchases associated with the B2B business are substantially longer. So Europe delivered a substantial benefit international and general delivered, but it was all really came out of Europe and that brought in virtually – actually slightly more than the balance. And then of course, because of our stronger performance, we did have some slightly higher receivables, which were the offset. So that is what drove in, it was pure operational execution. And then on top of that, Anthony, the smallest piece, but truly is aggressive tax management. We as a company have not necessarily have disciplines in place around that area and of course, going forward again we’re building into our processes a much more thoughtful approach to cash management with all of our vendors, and I’m not just talking about vendors associated with our inventory purchases, but our generally we do a lot of purchasing as you can tell from our SG&A initiative around traffic-generating to deal with product for resale. So that’s another area that we’ve gone after.
Hubert Joly: Sharon, do you want to touch on the vendor terms there was a question from Anthony about changing vendor terms or concern about this, which of course is not the case you wanted to maybe make that point.
Sharon McCollam: Yes. Anthony, we affirmed that in fiscal ‘13 there were no changes in vendor terms, I know that people, people were trying to get their head around this, and they are trying to understand it, but that had nothing to do with the $500 million. It all had to do with bringing the inventory in earlier, because of the calendar, and all of the things that we talked about in our last press release were exactly, how it came out. Had we not done this aggressive return of slow-moving inventory that has return capabilities with the vendors, this number would have been back into that range, if you take out the benefit from the shift in revenue in Europe to wholesale.
Anthony C. Chukumba – BB&T Capital Markets: Okay that’s very helpful color. Good luck with fiscal year ‘14 and keep up the good work.
Sharon McCollam: Thank you, Anthony.
Hubert Joly: Next question please. Thank you Anthony.
Operator: Thank you. Our next question comes from Greg Melich from ISI Group. Please go ahead with your question.
Gregory Melich: Hi thanks. Thanks to Hubert and Sharon, I have been busy there. On the domestic SG&A it was up 9% in the fourth quarter and you described it in dollar terms, it seems like some of it sort of just transitional and cycling some reversals from a year before, but a lot of it’s on going as well, could you help us understand the balance how much of that 9% dollar growth, you think is on going as supposed to just the cycling of share?
ISI Group, LLC: Hi thanks. Thanks to Hubert and Sharon, I have been busy there. On the domestic SG&A it was up 9% in the fourth quarter and you described it in dollar terms, it seems like some of it sort of just transitional and cycling some reversals from a year before, but a lot of it’s on going as well, could you help us understand the balance how much of that 9% dollar growth, you think is on going as supposed to just the cycling of share?
Sharon McCollam: Yes. Greg, your question kind of a little bit, but I think what your question is in the SG&A that we’ve reported in the fourth quarter, it was up substantially or bit more than you might have anticipated and you wanted to know how much of that was going to continue into 2014. So I will answer that question and if that’s not right, you can come back and ask and help me with that question. As far as the changes and what we talked about in the press release is that, there was a credit last year that did not recur this year. We also in the fourth quarter has some legal reserves that we had recorded that of course, we don’t have those frequently, so there was somethings that were unusual that way. As I look at the SG&A, I perhaps would be more effective in answering this question by stepping back and just talking about SG&A and talking about our SG&A cost reduction initiatives. My early observations having been here just now a short time, but in total agreement would be there is that the SG&A infrastructure at Best Buy is too high. There are some investments in the numbers that we are looking at in Q4 related to the Renew Blue field compensation plan that was put into place and there are investments right now in Q4 that are related to this IT transition. We are bringing – we’re in-sourcing aspects of IT and doing other in-sourcing and we got double costs, those will not continue. But looking at the cost base just in general, it is not in anyway optimize and we have significant incremental opportunity, the $150 million was our first set at reducing the cost, and it is not all about headcount, a significant piece of this is going to come from non-payroll and benefit related reductions and it is going to come gradually and incrementally during the year. So in Q1, we are hit really hard with this base of cost that was added early last year that we are not – we’ll not be continuing in our cycle. We’ve taken out a piece of it, we’re going to take out another piece, and we are already prepared to announce additional reductions for Q2, which we’ll talk more about in a few weeks or so from now or next release. And then we have additional reductions with the Cadence throughout the balance of the year. So to summarize, I would say there is a piece of this that will continue, and then you’ll see gradual and incremental reduction. Q1 is going to have a lot of pressures, Q2 still has pressure. We’re going to have the charges associated, we’ve taken the cost out, then Q3 and Q4, we are going to be slimmer and we will continue to take cost out going forward.
Gregory Melich: That’s great. Thank you.
ISI Group, LLC: That’s great. Thank you.
Sharon McCollam: You’re welcome.
Hubert Joly: Thanks, Greg. Next question please.
Operator: Thank you. Our next question comes from Gary Balter from Credit Suisse. Please go ahead with your question.
Gary Balter – Credit Suisse Securities LLC: Thank you. First of all, just one clarification on the earlier question that was at some price matching, because when you go on your site, it doesn’t mention matching online, but some of your Christmas output was matching online. So what’s the policy now going forward?
Hubert Joly: So let me be very clear, price matching strategy applies both online and in the stores. We sit under the worth low price guarantees. Gary, and first of all, let me thank you for visiting our site. I hope you’re buying.
Gary Balter – Credit Suisse Securities LLC: Well, I didn’t have the guarantee. So I couldn’t buy in that just…
Hubert Joly: So, would you like to tell me what’s skew, would you like to hand over that?
Gary Balter – Credit Suisse Securities LLC: Yeah, I will talk to you later.
Hubert Joly: We are very customer focused as you can see…
Gary Balter – Credit Suisse Securities LLC: I could see.
Hubert Joly: The lower price guarantee is the word for the price match and you see it on the site and I’ll double check right after this call myself so that because I’m concerned about what you’re saying, but there will be no doubt. The price matching is both online and you can get it online and in the stores and it covers of course our brick-and-mortar competitors as well as our online competitors.
Gary Balter – Credit Suisse Securities LLC: Okay. And then just a question, could you talk about your progress on the website like you obviously laid it out as one in the priorities. Could you tell us like where you are in terms of progress on that and how long you see that taking in terms of getting to a site that you’re comfortable with?
Hubert Joly: Yeah, thank you, Gary. And so this is going to be a dual process. One side of the process is to work with the existing sites and make gradual incremental progress. I’ve mentioned the number of things we’re going to be focused on and we’ll be ready for next holiday and this will continue. So this deals were the interaction with the customers, it deals with search, it deals with assortments, it deals with integration. One of the surprises has been the fact that we have these multiple sites BestBuy.com, MyRewardsZone.com, GeekSquad.com that have not been integrated and so the customer experience talking about multichannel even multi websites it was not integrated. So we’re addressing that with the existing infrastructure. And then in parallel to this, we will have a project to reconstruct, to redevelop, a new platform, and as you would expect that takes longer. We expect this to probably take a couple of years roughly speaking, which is why of course, we don’t want to wait a couple of years and we’ll have this dual track. So keep shopping during the year expect next 30 days some wonderful enhancements and then continue coming back and providing us feedbacks.
Gary Balter – Credit Suisse Securities LLC: And just to calm you down or make you happy, I did supply a 55-inch Samsung TV just before the Super Bowl at your store, so I am spending money as Best Buy mentioned.
Hubert Joly: Gary, I couldn’t be happier, and then actually looking at the site on my iPad, and you can see low price guarantee, it says well much prices on qualifying products CD sales and so forth. But the low price guarantee it’s on the front page towards the left in the bottom third of the page.
Gary Balter – Credit Suisse Securities LLC: Okay, thank you.
Hubert Joly: Thank you.
Bill Seymour: Thanks Gary. Next question.
Operator: Thank you. Our next question comes from Chris Horvers from JPMorgan. Please go ahead with your question.
Chris M. Horvers – JPMorgan: Thanks and good morning. Holistically can you talk about the outlook for domestic gross margin as you look ahead, it seems like there was the only that one warranty item that was not sustainable. So do you think we’ve reached the point, we’ve got the smartphone mix issue behind us. We’ve reached the stabilization and if not, what would be sort of puts and takes as you look ahead that could sway us from current levels?
Sharon McCollam: Chris, this is Sharon. I’m going to take that question. I think that you have to take a look at 2013 the fiscal year and look at it by quarter. And what you saw throughout the year was that the more competitive environment playing out in the growth profit rates, so now we’ve gotten into Q4 and what we believe is that we will continue, Q4 was a more promotional quarter especially in Europe, so when you’re looking at the enterprise level, I am talking about the domestic business now. When you look at Q4, we believe that coming off of that level you are going to start seeing stabilization in that margin and our hope would be to our supply chain and our cost efficiencies, and cost to good sold initiatives under Renew Blue, we can improve that. But this is going to be the challenge for Q1. It was throughout the year that we saw the competitive pricing environment escalate and up against Q1, we are going to have a talent in the gross margin because last year was so much strong. So that’s how you should think about it going forward, but just to put that I am not giving guidance but as just pointed out for all of you so that you can model. Please take a look at that and you’re going to see what I am talking about.
Hubert Joly: Right, so we sort of look back in time and we think about what typically what 4Q margin looks like, that’s were the basis that we build that of course basically.
Sharon McCollam: I think Q4 was because of the impact that we saw from Europe and some other things, I think it was a little bit lower but yes, you need to take a lot at how the year progressed and now we feel that we are in a place where we can start stabilizing and building.
Hubert Joly: And I want to come back one second on Gary’s question about the price mix to be very precise, which is that the movement from the cyber space of our price mix into the permanent policy is much deferred, and so in the stores, from March 03 that you will see the new signage and so forth, but that’s just a transitional and very precise points.
Hubert Joly: Okay, operator. This will be the last question. Thank you.
Operator: Thank you, sir. Our last question comes from Joe Feldman from Telsey Advisory Group. Please go ahead with your question.
Joe Feldman – Telsey Advisory Group: Hi, guys. Thanks for taking my question and congratulations on the quarter. Wanted to also dig into the internet a little bit and the e-commerce sales, I was just curious the complexion of what you saw in the e-commerce relative to the stores in the past quarter and in terms of may be the types of products you are selling online, did you see any changes from prior quarters? Had you seen any change in profitability, or just and how you are thinking about the capital deployments going forward among that CapEx spending, how much is going towards e-commerce this year?
Sharon McCollam: Hubert, would you like to take that question on online?
Hubert Joly: Yes. Thank you very much, Joe. And I love your question, because online is always number one in our thoughts, that’s a huge area of emphasis for us. So online first, we saw good growth in tablet phones and accessories during the quarter. Down the road, we’ll sell to customers the way they want to buy and of course, simpler products will be sold probably primarily online and more complex products will be sold more in the stores, and of course, the customers will have the choice. We’re focused on growing online as well as expanding the profitability of online. We have the firm belief that at the end of the day, online stores should have the same level of profitability. So some of the emphasis going forward will have to do with increasing, improving the baskets online, including one thing I mentioned, which is the ability, the easier ability to buy our services online, as well as expanding the baskets through recommendation, so lots of opportunities there. In terms of the investments, we expect we’re saying, we’re going to be very disciplined around the allocation of capital with a view to enhancing our return on invested capital. So we know what our priorities are and that makes it easier. So online is an area of emphasis from a CapEx standpoint, notably from an IT standpoints and we are focused on driving that. We understand that both from a OpEx and CapEx standpoint, I think that we are going to have these investments in the two platforms, the existing platform, and the new platform will create a bit of a bump if you will, but we’re determined to do the right thing provided that we keep this focus on return on invested capital.
Sharon McCollam: And Hubert, I might just add one more highlight on.com, for the fourth quarter, which is on top of that 11% growth. We also had a improvement in the gross profit rates. So despite the investments we made in the marketing and the price match, we did start seeing an improvement in the profitability in the gross profit in the online business, which of course, is also very encouraging as we start making these investments. So thank you.
Hubert Joly: And just before we conclude, I would like to and of course, share our excitements about the early momentum we are seeing here and thank you for your support. This is going to be a very exciting journey. We’re going to have ongoing dialogues around this. We look forward to continuously updating you on our progress and are building momentum. So thank you for your support and continued interest.
Operator: Thank you, ladies and gentlemen. That concludes today’s Best Buy’s fourth quarter fiscal 2013 earnings conference call. Thank you for your participation. You may now disconnect.